Operator: Good day, ladies and gentlemen. And thank you for standing by. Welcome to your Q3 2014 The Bancorp Inc. Earnings Conference Call with Andres Viroslav. My name is Mary, and I'll be your operator for today. At this time, all participants are in listen-only mode. But later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder this conference is being recorded. But now, I'd like to hand the call over to Andres. Please go ahead.
Andres Viroslav: Thank you, Mary. Good morning. And thank you for joining us today to review The Bancorp’s third quarter 2014 financial results. On the call with me today are Betsy Cohen, Chief Executive Officer; Frank Mastrangelo, President; and Paul Frenkiel, our Chief Financial Officer. This morning’s call is being webcast on our website at www.thebancorp.com. There will be a replay of the call beginning at approximately 12:00 p.m. Eastern Time today. The dial-in for the replay is (888) 286-8010 with a confirmation code of 19205886. Before I turn the call over to Betsy, I would like to remind everyone that when used in this conference call, the words believes, anticipates, expects, and similar expressions are intended to identify forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements are subject to risks and uncertainties which could cause actual results to differ materially from those anticipated or suggested by such statements. For further discussion of these risks and uncertainties, please see The Bancorp’s filings with the SEC. Listeners are cautioned not to place undue reliance on these forward-looking statements which speak only as of the date hereof. The Bancorp undertakes no obligation to publicly release the results of any revisions to forward-looking statements which maybe made to reflect events or circumstances after the date hereof, or to reflect the occurrence of unanticipated events. Now, I’d like to turn the call over to Betsy Cohen. Betsy?
Betsy Cohen: Thank you, Andres, and thank you all for joining us today. For what was a noisy but we believe productive quarter. I guess the headline for the quarter is that from a strategic – after a strategic evaluation and significant work on the commercial lending portfolio, The Bancorp has decided to exit that line of business. In cooperation with an outside firm and experts which validated our own internal marks, we have mark the portfolio to fair value and our preceding although we had just begin the process our sales of the portfolio. Paul Frenkiel, our Chief Executive Officer will take you through the reconciliation of the marks in the loss and that computation in just a few minutes. I am going to provide an overview however of the quarter as a whole. We will, as we have been discussing over the last several quarters, we have been emphasizing the growth of four portfolios within our assets allocation. SBA, SBLOC or security back lines of credit, CMBS and our leasing program, small fleet leasing program. The aggregate yield on those four portfolios is approximately 4%, 4.01% versus the yield on the aggregate on commercial lending portfolio which was 4.13%. We therefore feel comfortable that over time we will be able to replace the yield currently being experienced by the commercial loan portfolio. Additionally, there are several characteristics of the remaining portfolios. One is that they are primarily floating rate in interest rate in nature. They are granular and on a risk adjusted basis they have performed admirably over the course of their lives. We have been in these businesses for a very long period of time. Our CMBS being the most recent entry to the portfolio list and that has been approximately 2.5 year period. Over the course of the last 24 months, on an annual basis, this portfolio of $871 million – excuse me, almost a $1 billion has experienced a loss of less than $250,000 a year. We think that we have a significant opportunity to expand various components of the portfolio. Frank will talk to the addition of senior leadership in some areas. We have an opportunity to purchase small portfolios within the leasing area. And so as liquidity opens up with the sale of the commercial loan portfolio – portfolios, we will in fact execute in those areas – element. As you can see the bank remains well capitalized. We did not access our ATM offering. We don’t think that any capital is needed and on a tangible book value basis our tangible book has increased on a year-to-year basis. As the commercial loan portfolio is so – and there is tremendous interest. We've just begin the process that there appears to be tremendous interest. We will have a reduction in expenses of personnel and costs of collection, as well as of course as the pure credit cost. We believe that the reduction in the cost of personnel and costs of collection will offset what we discussed last time to be an increase in regulatory personnel so to speak in connection with BSA and compliance. And Paul will speak to the – what we have absorbed already during this quarter as part of that ongoing increase, operating increase in – by the hiring if additional personnel for regulatory monitoring. With that, I am going to ask Paul first to take us through the reconciliations and description of the accounting items for this quarter and to share with you the reconciliation of those items with the bar showing of $0.45 this year. Paul?
Paul Frenkiel: Sure. I'll keep this as simple as possible and try to focus on the three big numbers. The first is that, in addition to our existing allowance for loan losses, the bank recognized a $38 million charge as a result of the fair value adjustments required by discontinued operations that was performed by the third party. That reconciles the loss of $18.3 million, primarily due to the significant tax benefits that was afforded by the municipal bond portfolio, the tax exempt income. So the overall tax rate benefit was at a rate slightly over 50%. So that basically decreased to $38 million charge for value to approximately half of that which is approximately the loss for the quarter and a few other, go ahead…
Betsy Cohen: I was just going to say did you want to go on and speak expenses.
Paul Frenkiel: Well, actually I think, I had actually plan to touch on capital right now as fast and notwithstanding that markdown in that loss both the company and banks capital ratios continue to exceed while capitalized requirements for Tier 1 capital average assets the holding company in the bank capital exceeded 8% and 7.5% respectively, to the 5% well capitalized requirement. The Tier 1 capital, the risk assets for both the holding company and the bank are more than doubled to well capitalized requirement and the last ratio did in fact decreased because discontinued operations and the elimination of the allowance, which was rolled into the fair value computation reduced the amount significantly and the allowance is part of that total capital, numerator in that ratio. So, that ratio decreased but its still in excess of 13% of the holding company, 12% at the bank compared to 10% of which is the requirement for well capitalized banks. However, as the commercial loans are sold and they replaced with lower risk based loans and capital securities, we anticipate that that ratio would increase. The other things I'd like to point out that when you look at the income from continuing operations, if you look within our summary income state, you'll that that third quarter pre tax income of $1.5 million is net of the $2.7 million of special charges for BSA and look back consulting expenses and those consulting expenses are – will be – we are working through those and satisfying the regulators. And so those should be non-recurring, at least what we expect, although we have more to observe in the fourth quarter. And the other major adjustment as Betsy alluded to, is that while the continuing operations of $1.5 million excludes the loan interest income on discontinued operations it obviously can't include the interest income on the reinvestment and loan proceeds. So, we'll use as Betsy said the securities as placeholder initially and due to the growth rates of the other loan components the SBLOC, the SBA, the leases and the CMBS will be funding those as quickly as we can.
Betsy Cohen: Thank you, Paul. The other side of our businesses such as the processing business also experienced a very significant growth, as you could see from the highlights of continuing operations there is a 21% increase in prepaid and a 33% increase in card processing and ACH fees. We think that these are above market growth rates and Frank is going to take you through the more granular explanation of this growth.
Frank Mastrangelo: Thank you, Betsy. As Betsy just noted, we continue to demonstrate greater than industry, average industry growth in the – with prepaid segment, non-interest income grew 21% Q3 2013 to Q3 2014. Gross dollar volume grew 30% over that period. The relationship between non-interest income and GDV was on about our average of 13.2 basis points. And just as important where the growth came from, the GPR segment, one of the segments affected of course by the BSA order actually grew 35% over that period of time. So stronger growth rate and even the average of the unit as a whole. Betsy also noted that the merchant group, another group that I think as we've talked through in detail in the past some overhang from the BSA order grew 30, non-interest income 33% over that period that was propelled by 72% year-over-year increase and card volume 17% increase year-over-year in ACH volume. Deposits grew Q3 2013 to Q3 2014 a less of $247 million, again propelled by our typical categories that as I demonstrated growth, primarily prepaid merchant and our private client business. But one thing that’s masked a bit in that number though is that, over that time period we exceeded deposit heavy, fee light loan light relationships in excess of $400 million as we typically pair the portfolio and move out of those relationships as we manage the balance sheet as we've noted in the past that we do. Our target area of lending, just reiterate what Betsy noted, our SBA out standings were 65% to Q3 2013 to Q3 2014. Our securities backed lines of credit grew 44% over that time period, as Betsy noted we do have new senior leadership in that group and we believe that that will provide us a faster pathway to penetration of large client base and segments there and that that will continue to be core unit of our ongoing lending strategy. The leasing portfolio grew 14% over that time period. Again important statistics they are related to that is that in the quarter in Q3 2014 the unit actually originated gross leases of almost $56 million almost 2000 unique leases. So the average life there – well that is the one primarily fixed rate product we have still in the loan mix the average life of those leases is relatively low being between 2, 2.5 years, so having relatively short duration. As Betsy noted, we do have the ability to increase our geography there, that’s part of the growth strategy continuing to look at acquisitions of both small leasing companies and small teams that we can add and continue to step the footprint primarily on –which is primarily focused on the eastern seaboard today West.
Betsy Cohen: Thank you, Frank. I think just – the only other line of business that we haven’t discussed is the CMBS and this quarter the income from gain on sale was lower than average. I think that we managed that portfolio not on a quarter-by-quarter basis, but really on an annual basis. And so this quarter we pulled back a bit, in terms of origination, in order to respect the pullback in spreads and we are doing the opposite, we are expanding the during the fourth quarter because we think there is an opportunity. So it’s something that’s really difficult to look that on a quarter-by-quarter basis since it’s not that kind of product. I think that being said, I would be, I think Mary we can open the call floor to questions. Mary? Yes.
Operator: (Operator Instruction) And first question comes from the line of Frank Schiraldi with Sandler O’Neill. Please proceed.
Frank Schiraldi - Sandler O’Neill: Good morning. Just few questions. I wanted ask first on, now with the fair value analysis by the external third party is completed. You know, I assume separate buckets will get sold to separate entities perhaps. But I just wanted your thoughts on potential timing of a sale or sales of the loan book?
Betsy Cohen: Yes. I think that we will rollout sales, you're right Frank that, that we're trying to determine the best way to sell it either in aggregate or by either geography or size or whatever have you. And so that will take a little bit of time in terms of the response of interested parties in order to make that determination. But we do anticipate those sales being completed within the next 120 days.
Frank Schiraldi - Sandler O’Neill: Okay. Great. And then secondly, I am just trying to get to a you know, as estimate of core earnings going forward and I understand that the reinvestment of the commercial loan book is not in the number of continuing ops in the quarter. I am just wondering if that 175 reinvestment rate that’s given in the release, is that really the best guest of where at least in the short term securities will be put back on the books, say we're doing it today or would you know, expect that to be higher as maybe you take on a little more duration/risk in the securities portfolio?
Betsy Cohen: I believe that and I'll pass it back to Paul in minute. But I do believe that that’s assaults number so to speak, that since the time that we put the number, the release, interest rates have gone up and we would be able to achieve a better rate than that even on a same configuration of the portfolio. So I do think it’s a matter of timing of this will be a place over there and so we would skew ourselves toward a shorter duration, the portfolio as a whole yields about of that 26. So yes we see that – and its matter of really judgment, if we see that, it is taking us a longer to – that the sales occur sooner and its taking us longer to replace that income we may increase the duration or do a barbell so that we can have you know, some additional income. But I think it’s really something that we can't predict at this moment because there are number of external factors which will determine our decision.
Frank Schiraldi - Sandler O’Neill: Okay. Okay, great. And then just lastly in the last 10-Q you talked about a potential risk being some deposits, generally loadable deposits could be designated as brokered. And I wondered if you could just give us an update on the thinking there and then how it could potentially affect growth especially as you're under the written agreement currently?
Betsy Cohen: Yes. Frank, do you want to talk that?
Frank Mastrangelo: Sure. I think as we might have spoken about Frank, the inquiry by the FDICs is won that dates back in number of years. Its – we don’t expect to be singled out to do this alone if the regulators decided these deposits should be categorized differently, but rather would expect you know, an announcement to the industry that would mandate them to be carried differently or reportedly differently then they are today. This is an idea and dialog that’s been bouncing around, I think in – the FDIC for quite sometime and its unclear, as to where it will ever applying on the subject. So first of all secondly the quarter itself has really doesn’t have any affect on whether we would carry the deposits as brokered or really wouldn’t affect the growth rate whatsoever.
Frank Schiraldi - Sandler O’Neill: I was on the impression that you have brokered deposits and you have a written agreement in place it might be difficult, more difficult to grow those deposits or use as possible funding. But…
Frank Mastrangelo: Only if an institution was to become not well capitalized, so we'd require another trigger and that is the institution to become not well capitalized only in that instance could there be a cap pleased on the other way we are broker deposits and institutional controlled.
Frank Schiraldi - Sandler O’Neill: Okay. Great. All right, I appreciate. Thank you.
Frank Mastrangelo: Yes.
Operator: Okay, thank you. And we have another question in this come from the line of Matthew Kelley from Sterne Agee. Please proceed.
Matthew Kelley - Sterne Agee: Yes. Good morning. Question on the carrying value of these loans. So the $38 million fair value charge is that in addition to, I think it’s about $40 million provision that was associated with the portfolio as now for sale. So are those separate or walk us through that reconciliation on what happened to that reserve attached to that portfolio for sale?
Betsy Cohen: Sure. Paul, would you like to do that, please.
Paul Frenkiel: Sure. Yes, those actually are separate, so maybe the easiest, I think the way you are trying to look at it was that at the end of the second quarter we had a reserve of about $46 million. We had some activity during the quarter, so we ended up with the reserve about $44 million and $38 million was basically in addition to that.
Matthew Kelley - Sterne Agee: Okay.
Paul Frenkiel: Existing loans.
Matthew Kelley - Sterne Agee: Got you. So we can really think about it as an $82 million write-down or 7% or 8% of the unpaid principal balance. Is that the right way to think about it?
Paul Frenkiel: By 38 in addition to the 44 that had accumulated over a period of many years.
Matthew Kelley - Sterne Agee: Okay, okay. And then going forward, you know you had $30.5 million of operating expenses its put on an annualized run rate of $122 million. Where would you see kind of your operating expense levels going over the next couple of quarters? One this portfolio was sold and you're operating on a standalone basis.
Betsy Cohen: Paul, do you want to continue?
Paul Frenkiel: We have, as Betsy mentioned really we'll have significant reductions in salary and but to offset that we'll have significant increases in salary expenses relating to the compliance requirements BSA, AML in addition to that additional compliance headcount. So, we're working through those. We're going to obviously do our best to manage the cost and control expenses the best we can.
Matthew Kelley - Sterne Agee: Okay.
Paul Frenkiel: But we will have those two factors.
Matthew Kelley - Sterne Agee: So if we go back and look at the September 2013 operating expense number of $26.4 million, plus $2.5 million less than what you originally reported, is that the right number for the operating expenses associated with the loan portfolio for sale that we'll see reductions, so about $2.5 million to $3 million a quarter?
Betsy Cohen: Yes. I think that that’s only the personnel cost and so you really have to look behind that. Its harder to be visible, but in the course of collecting it portfolio of this sort is significant legal expenses and other expenses as we roll off the loans in the OREO and as such and we'll had help, we'll engage upon the disposition of any loans in the process to collection, those numbers will go down. And so it’s our best estimate that that all personnel number together with the safety aided expenses. It’s not the credit loss system sales, but as I stated expenses should approximately equal the increase over time in the compliance than BSA AML personal cost.
Matthew Kelley - Sterne Agee: Okay. All right. Got you. If you were to sell the loan portfolio, let's just say November 30. How quickly would you anticipate going from cash to a full billion dollars securities book how quickly will you buy the securities with the cash. Once the transaction is completed?
Betsy Cohen: Paul, do you want to talk to that?
Paul Frenkiel: Sure. We have an independent advisor and we basically been discussing that question with him and when he structured those somewhere between 1.75% and 2% yield that would assuming that we would be able to invest at primarily in mortgage-backed securities but actually a mix of other securities and that could be done relatively quickly within weeks.
Betsy Cohen: Yes. Matt, I think that we are trying to avoid higher yielding but not totally liquid or quickly liquidatable securities, so entry and exit should be relatively quick because we only a teeny tiny part of a very, very large margin.
Matthew Kelley - Sterne Agee: Sure. Yes. Okay, got it. And then what should we be using for it would be any change in your tax rate going forward. Once you have you know the bigger security portfolio, will there be some additional muni's or reduce your tax rate or should we stick around that 35%, 36%?
Paul Frenkiel: Yes. I think yes, for a model for purposes of modeling your best off with the statutory rates. We do have the benefiting municipals, but the way accounting conventions require and we work very closely with our outside orders on this. We have to compute and annualize tax rate. So in any given quarter you might have a fluctuation, but if you use 35% it should ease now.
Matthew Kelley - Sterne Agee: Okay. And then the reserve coverage on the continuing loan portfolio, but it's a point, where would you like to see that over time with the right number there?
Betsy Cohen: Of course it always depends on what the growth experience is and that’s why I shared with you earlier on that – with that, that over the last 24 months and these are businesses we could trace it back significantly further than that, leasing we've been in one player, another in for 40 years and in the SBLOC for 10 years and whatever have you. So we experienced much in terms of $55,000 a year in losses. So we think that we will try to take the opportunity to build this reserve, but that we're choosing portfolios where our experience has been extremely low loss experience.
Matthew Kelley - Sterne Agee: Right. Got it. And then Frank, can you give us an update on Europe and how that’s tracking through revenue generation and breakeven?
Betsy Cohen: Frank?
Operator: I think we've lost Frank, I am going to get him back for you just bare with me.
Betsy Cohen: I mean, I will fill in the gap a little bit not here as well as, as Frank could. But we have been boarding clients at a significant rate. We also have the very large price line, but the boarding is more important, if you don’t mind just waiting on that question, I'll let Frank answer it.
Matthew Kelley - Sterne Agee: We can wait till Frank come on. But thank you very much.
Betsy Cohen: Hello?
Matthew Kelley - Sterne Agee: Yes, I am all set, Betsy. Thank you.
Betsy Cohen: No, I was waiting – I certainly would want to answer all your questions, but I was waiting for Mary to ask another question.
Paul Frenkiel: I think she is calling up to Frank.
Betsy Cohen: Yes.
Operator: Okay. I am here now. And we have a – thank you and we now have William Wallace from Raymond James. Please proceed
William Wallace - Raymond James: Hi, Betsy. We always wait for Frank. Maybe you cold give us an update on where you guys are in the process of addressing the order rate to BSA and putting that report that you need to present in order to get the restrictions what so?
Betsy Cohen: Sure. We're making I think a significant progress with the BSA order itself. We were ahead schedule on some items and behind on others as is always the case with this kind of implementation we believe that the software that we have been working on and writing the rules for it that we anticipated would be available at the end of January and that should be available about 30 days ahead of that. If you look back I think is maybe 30 days behind or maybe 45 days behind because the amounts of data that had to be accumulated we are about 70% of the way that we're about 85% of the way through the hiring of personnel and probably Paul maybe you can help me on this what percentage of the personnel payrolls of BSA was reflected in the third quarter?
Paul Frenkiel: Actually Frank was updating that to get the most recent information with…
William Wallace - Raymond James: Yes, that’s…
Betsy Cohen: You are back and better than ever.
Frank Mastrangelo: Mary, I apologize, so I don’t know what happened there with the phone lift, but Betsy there was almost 60% of –the expense impact was felt in the quarter, although the run rate at the end of the quarter we did have 85% of the personnel hired by the end of the quarter, that 60% was felt from an expense standpoint in Q3.
Betsy Cohen: And I guess the other question was how is the report coming, the external report that we were having genuine procedures and progress.
Frank Mastrangelo: Yes. So, ongoing process related to that and there are components of it, while the Tampa team is and that’s the team that was brought on to – and broadly the hires that were brought on to do transactional monitoring. So we staffed fully operational, fully contributing. There is still components that they were working through to get to that for report, but for report I think we've been talking about bringing the group in to have it completed some time early in 2015, I think we're still on target for that.
William Wallace - Raymond James: And you said some time in 2015 would you target I mean, could you maybe – at first of the half of the year, second half of the year?
Frank Mastrangelo: Yes, I did say early 2015, so first half of the year.
Betsy Cohen: First quarter I think is early.
William Wallace - Raymond James: And Frank, the prior question was how is the European investment going and what's the anticipation to breakeven?
Betsy Cohen: Frank, I gave an overview saying that we were boarding clients and had a substantial pipeline, but that I would like you talk to the risk?
Frank Mastrangelo: Yes. And that’s exactly right, I think as I mentioned, on previous calls, we're in that tweener period right now where we actually have clients signed committed boarding and once their once that integration is completed and they are boarded there will be a ramp to volume. I think we are on target to have a number of those clients before we board it and integrate in Q4 as we anticipated. I do think that the – and we believe that there is enough GDV associated with those clients to push the European business to breakeven. I do believe that where we've been talking in the past about the potential of a breakeven run rate by the end of Q4, I believe that that probably is often another quarter to just because these things can take longer than you would have ever anticipate with clients. Beyond that, beyond what we have inked and boarding and integrating and launching still this year, there is an exceptionally strong pipeline of client dialog in the European business.
William Wallace - Raymond James: Thanks, Frank. And then if I could just circle back just – think I am a little bit dense on the non-interest expense question. But if I look at the expense that was reported from continuing operations in the third quarter and I back out the, you know, exclude the consulting rated step that’s yet about $30.4 million, is the commentary that you guys offered to suggest that the release from the personnel side that will be offset from the BSA raise investments, that that $30.4 million is the right number to use as the base…
Betsy Cohen: Paul, can you answer that?
Paul Frenkiel: It’s a little bit complicated because one of the factors you have to adjust for is the significant non-interest expense that results from the CMBS depending on production.
William Wallace - Raymond James: Okay, right.
Paul Frenkiel: So…
William Wallace - Raymond James: So, assuming CMBS production is flat to third quarter levels, that’s the right number use and then if production increases your variable comp portion will increase…
Betsy Cohen: Exactly, exactly.
William Wallace - Raymond James: Okay. And then my last question, Frank this one is probably for you. But if you – you mentioned in your prepared remarks that the GPR trends year-over-year were up more than the sort of GDV. What about on a linked quarter basis, is that the same trend that you saw from second quarter to third quarter of this year?
Frank Mastrangelo: Second quarter to third quarter, let me put my fingers on that number, GDV Q2 to Q3 increased about 2.6%, Q2 to Q3 usually are relatively flat quarters.
Betsy Cohen: Because you may remember while that we have upsurge in Q2 with the tax refund business.
William Wallace - Raymond James: Right. But the GPR portion increased 2%.
Frank Mastrangelo: Correct.
Betsy Cohen: That’s right.
William Wallace - Raymond James: The total GDV was down 7% so the trends held…
Frank Mastrangelo: Right, total GDV down 7% but GPR up 2.6% that’s correct.
William Wallace - Raymond James: Okay, okay. Thanks, guys I appreciate your comments and thanks for the additional clarity on the loan market et cetera.
Operator: Okay, thank you. And we have another question from Frank Schiraldi from Sandler O’Neill. Please proceed.
Frank Schiraldi - Sandler O’Neill: Yes, I don’t want to get to many leads on expenses, but I just wanted to check a couple of things there, the 2.7 million of BSA related expense, so that is not inclusive of the run rate, the 60% run rate that’s in expenses in 3Q?
Frank Mastrangelo: That’s strictly the consulting expenses.
Betsy Cohen: Its in fact, we were allowed to call the non-recurring, we would do that, but we're not.
Frank Schiraldi - Sandler O’Neill: Great. Okay. And then so, is there any change to our expectation, I believe I have this right, that you expected after the – for the back half of the year, you expected $7 million in consulting fees and you got 2, 7 out of the way in the third quarter, is that the right math and does that still hold true?
Betsy Cohen: Paul?
Paul Frenkiel: Yes. We are working with compliance. Its rather complex type of management because we basically are need to satisfy the regulators. We have multiple compliance people now who are working with multiple different consultants. So its – I would say that’s materially still the amount, but it may – I know that there was one consultant who was suppose to end October 15 that looks like its going to be extended a month or so. So, they may, they appear to be somewhat higher than that, but that is the vast majority that should be the vast majority of the consulting expenses.
Frank Schiraldi - Sandler O’Neill: Okay. And then I believe that your expected run rate continuing run rate for personnel builds in BSA was around $3.5 million annual and if that’s the case and 60% is already in, then it would seem like you only have about another 500,000 a quarter in higher personnel cost associated with BSA that’s not in the 3Q numbers, is that around the right number thinking about?
Betsy Cohen: Paul?
Paul Frenkiel: Yes, for BSA that’s true but since we had the last call in working with the regulators they've requested more staffing for non-BSA compliance. So there will be some additional cost to that I am not ready yet to we're still working with the audit committee who will ultimately decide on those positions and budget them. So we're not really ready but obviously it will be significantly – the arrears will be significantly less than the $3.5 million.
Betsy Cohen: That’s why I would you thank you that we anticipate and this is our very rough numbers Frank, if we anticipate that expenses saved between the two categories that I gave you on the commercial loan portfolio might be $4.5, $5 million, we think roughly there will be doubts the offset to the increased expenses. But remember in the third quarter we had both the expenses from the commercial loan portfolio and the additional 70, 60% sorry of the expenses from BSA.
Frank Schiraldi - Sandler O’Neill: Okay. So I guess when your discounting operations and moving and setting some stuff aside, including lot of revenue aside, you don’t aside the expenses always not the personnel expenses, they are still in continuing ops until you shutter the business or sell the business?
Betsy Cohen: I am sorry, go ahead, Paul.
Paul Frenkiel: Yes, they are in discontinue, the commercial loan expenses are in fact in discontinued right now within the statements.
Frank Schiraldi - Sandler O’Neill: Including the personnel?
Paul Frenkiel: Yes.
Frank Schiraldi - Sandler O’Neill: Okay. So the expenses will ramp then because those are not in continuing expense, those loan…
Betsy Cohen: If you just spread it, if you take the bank as a whole because at some point they will not discontinuing operations, discontinued operations, they will not be discontinued.
Frank Schiraldi - Sandler O’Neill: Right, okay. I guess, I am just going back to the – if we take out the $27 million out of the $33 million and you get to around $30 million expense, you are already taking out of that number the community bank related expenses and have to add back into that number over time, so more BSA and non-BSA compliance expense?
Betsy Cohen: No, we have in, we've taken that of continuing, but remember this will collapse within six months, so you'll only have continuing operations and they won't be burdened with the expense of discontinued operations.
Frank Schiraldi - Sandler O’Neill: Okay, maybe I'll continue offline, I am kind of little confused on the front if the expenses related to community bank lending is still in that $33 million number or not?
Paul Frenkiel: No, it’s not in that number.
Frank Schiraldi - Sandler O’Neill: Okay, okay. And just finally, just Frank I wondered if, prepaid grew and average of the card business grew very strong, good growth numbers year-over-year, I mean, just what are your thoughts in general on the growth expectations, I mean, you know, I'd seen sort of 12% or 13% prepaid fee income growth before this and we talked about that maybe being about what the industry was putting out up as whole, just maybe if you could talk a little bit about the industry growth and then growth expectations for Bancorp?
Frank Mastrangelo: Sure. Those actually [inaudible] for the industry, we still believe are in the 12% to 13% range for the year and 2015 also you know, probably a 12 benchmark for 2015. We did note in the past that we believe that we would outpace the overall growth rate of the industry just in being able to grow – our program is growing organically. We are seeing our larger program managers you know, continue to market share, having advantages of scale and I think that’s certainly one of the reasons why we see 30% growth in GDV equating to 21% growth in non-interest income.
Frank Schiraldi - Sandler O’Neill: Got you. Okay. All right, that’s all I had. Thank you.
Betsy Cohen: Thank you, Frank.
Operator: Okay, thank you. And now our next question comes from the line of Matthew Kelley from Sterne Agee. Please proceed.
Matthew Kelley - Sterne Agee: Yes. What was the FDIC insurance premiums paid during the month or during quarter excuse me?
Paul Frenkiel: If you bare with me for a second, I will get you that number.
Betsy Cohen: Yes, they need to know…
Matthew Kelley - Sterne Agee: Yes, so getting back to expenses, I know there is a lot of questions on that, I mean, all that we see in the P&L here is a net income from discontinued operations, but obviously that has its own P&L to generate that bottom line net number after the tax benefits you referenced earlier. So, my question would be in that P&L for discontinued operations what was the dollar amount of expenses included in that amount for the commercial bank operation?
Paul Frenkiel: That’s basically discontinued operations…
Matthew Kelley - Sterne Agee: Right.
Paul Frenkiel: Basically, that’s what it is.
Matthew Kelley - Sterne Agee: No understand that, but it has to get to that bottom line net number after tax, I mean, you had spread income, that’s outlined in the average balance sheet, fees, fee income and then there is operating expenses for the people you know the buildings locations for that operation, what was that operating expense number in that P&L for discontinued operations? Because all the expenses are associated with that loan portfolio are baked into that line item, correct?
Paul Frenkiel: Correct.
Matthew Kelley - Sterne Agee: Right. So what was the…
Paul Frenkiel: So that includes the mark down, it includes the expense. I have to look at the work papers for the analysis on that, this actually required creating a new accounting system which because we had separate that, so I'll have to look. I don’t believe actually the way we accounting works interestingly on this is that, you don’t actually report it all gets reported in one line, so I don’t believe we're actually going to speak to this. But I can look at that and speak through the work papers for that with you. The FDIC insurance expense as to your question was $1.5 million for the quarter.
Matthew Kelley - Sterne Agee: Okay. Got you. And then obviously lot of questions around expenses, could you give just a range within a $1 million or $2 of way you think expenses will be for the fourth quarter, operating expenses, excluding the consulting charges?
Paul Frenkiel: We don’t actually – I don’t think we've ever projected on that I can tell you we're all focused on that area and we'll try to mange them as best we can. But we really don’t have not really projected and I don’t think we're going give guidance to that but we are very focused and we realize that given the new structure that has to be emphasized.
Matthew Kelley - Sterne Agee: Right, okay. An then question for Frank, in April you guys had an 8-K in our relationship that you were terminating, is that still on track to be terminated in the timeframe outlined in that 8-K?
Frank Mastrangelo: It is.
Matthew Kelley - Sterne Agee: Okay. So…
Frank Mastrangelo: It is. We anticipate that occurring sometime in Q4 amount.
Matthew Kelley - Sterne Agee: Okay. All right, got it. Thank you.
Operator: Thank you. And I'd like to turn the call over to Betsy for closing remarks./
Betsy Cohen: Thank you, Mary. And thank you all very much for as always your good and probing questions. As I said at the beginning of this call this was a noisy but we believe very productive quarter. And we look forward to significant growth rates within our continuing operation are much more predictable and appropriately risk adjusted income stream and we are eager to move forward. So thank you again. And we look forward to talking with you next quarter.
Operator: Thank you, ladies and gentlemen. That concludes your conference call for today. Thank you for joining us. You may now disconnect. Thank you.